Operator: Good day and thank you for standing by. Welcome to Vital Farms, Inc.’s First Quarter 2021 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Matt Siler, Vice President of Investor Relations. Please go ahead.
Matt Siler: Thank you. Good morning and welcome to Vital Farms’ first quarter 2021 earnings conference call and webcast. I am pleased to be joined on today’s call by Russell Diez-Canseco, President and Chief Executive Officer and Bo Meissner, Chief Financial Officer. By now, everyone should have access to the company’s first quarter 2021 earnings press release filed this morning. This is available on the Investor Relations section of Vital Farms’ website at investors.vitalfarms.com. Through the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management’s current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today’s press release and the company’s quarterly report on Form 10-Q for the fiscal quarter ended March 28, 2021, each filed with the SEC earlier today, and other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note that on today’s call, management will refer to adjusted EBITDA, which is a non-GAAP financial measure. While the company believes this non-GAAP financial measure provides useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to our earnings release for a reconciliation of adjusted EBITDA to its most comparable measure prepared for in accordance with GAAP. I would also like to note that we are conducting our call today from our respective remote locations. As such, there may be brief delays, cross-talk or other minor technical issues during this call. We thank you in advance for your patience and understanding. And now I would like to turn the call over to Russell Diez-Canseco, President and Chief Executive Officer of Vital Farms.
Russell Diez-Canseco: Thanks, Matt and good morning everyone. On today’s call, I’ll briefly review our quarter one 2021 performance and provide an update on our growth strategy. Bo will then review our financial results in more detail and discuss the updated guidance we announced in our press release this morning. We then look forward to taking your questions. First, a review of our first quarter results. We had a strong start to the year and exceeded expectations on all key financial metrics. Net revenue in the first quarter of 2021 was $58.5 million, a 23% increase from the first quarter of 2020. Additionally, we increased retail distribution 13% year-on-year to over 16,500 stores as of March 21. And we are the second-leading egg brand in the U.S. by retail dollar sales, with 4.7% market share. We believe that our results, both this quarter and historically, validate the strength of our brand, the quality of our products and our leadership within the growing specialty egg segment and broader retail egg category. Next, I would like to talk about Conscious Capitalism and our approach to doing business. So before I provide an update on each pillar of our growth strategy, I want to share a few highlights related to our farmers, community and crew that reflect how we practice Conscious Capitalism and manage the business in the best interest of our stakeholders, who include farmers; suppliers; employees, whom we call crew members; customers; consumers; communities; the environment; and stockholders. Specifically, after nearly a year of planning, we welcome the first flock of birds to our new learning and development farm in Missouri. This was an exciting milestone as we continuously challenge ourselves to raise the standards of food production in the United States. The new farm, which we affectionately named Onion Creek after the 27-acre plot of land on which Vital Farms was founded, will be used to test and optimize methods that enable us to raise our production standards further and provide even more guidance and support to our farmers. Next, we continue to attract outstanding talent to our leadership team. Last month, we welcomed Joanne Bal as our General Counsel, Corporate Secretary and Head of Environmental, Social and Governance. In this newly created role, Joanne will be responsible for legal strategy and compliance as well as leading our ESG initiatives, building on our strong foundation as a public benefit corporation, Certified B Corp, and a brand that has practiced Conscious Capitalism since its founding. This includes publishing concrete, achievable and measurable ESG goals and reporting on progress to our stakeholders. Joanne brings 25 years of legal experience, and joins us from Levi Strauss & Co., a company with a strong reputation in ESG. We conducted an extensive search for this role and are thrilled to welcome Joanne, whom we believe is the perfect mission-driven leader to oversee these critical functions for Vital Farms. Next, we are listening to our crew members and doing what we can to support their individual needs. This includes providing educational resources on the COVID-19 vaccine for our frontline crew. We also made the decision to support the preference of those crew members, who have been working remotely during the pandemic and allow them to continue to do so indefinitely. We made this decision in collaboration with our crew members, who provided overwhelming feedback on how much they value a flexible work environment. We believe this also opens a much broader talent pool as we seek to fill open positions going forward. We will keep our headquarters in Austin. And staying true to our stakeholder model, our crew members are working together to re-imagine our office as a space to foster culture and collaboration. Finally, we are continuing to invest in the communities around us, with a focus on our diversity, equity and inclusion commitments. As part of our ongoing relationship with the Boys & Girls Club, a partnership we formed last year, we virtually hosted the St. Louis, Springfield and Austin chapters to teach their members about ethical food production. We think we gained just as much from the experience as they did, and our hope is that we inspired a curiosity and passion for the food system in these young minds. These are just a few examples of how we are always making decisions that prioritize the long-term sustainability of our stakeholders. Because of our stakeholder-driven business model, I am often asked about the trade-off between purpose and profit. We believe purpose and profit are not mutually exclusive. When we sit on the same side of the table as our stakeholders to problem-solve and co-create with them, we all benefit and grow. Now, for an update on our growth strategy which includes increasing household penetration, expanding retail distribution, growing our foodservice footprint and innovating new products, so first, household penetration and retail distribution. At the end of the first quarter, our household penetration was 4.1%, an increase from 2.9% in the first quarter last year. We have seen positive growth in household penetration, both year-over-year and sequentially, since the third quarter of 2019. On Slide 10 of the corporate presentation we published this morning, you can see how we have consistently delivered growth in household penetration, driven primarily by investments we’ve made in our brand and increased retail distribution, where we’ve seen similar sequential growth, and the growing number of consumers seeking food selections that are honest, transparent and trustworthy. We are pleased with the number of consumers we’ve retained once they initially try our products and remain loyal, which we believe is because of our mission, values and commitment to stakeholders. In 2020, we saw the most significant acceleration of new buyers introduced to our brand. And we now have 5 million households that purchased our pasture-raised eggs, a 33% improvement over the 3.7 million households a year ago. We intend to carry this momentum forward into the rest of 2021 and remain confident in our abilities, both to attract new households and to retain current consumers, as we make investments in marketing and as the consumer and category trends that have historically propelled our growth remain relevant. Finally, across both channels, we have increased product placement by 28% compared to the first quarter of last year, demonstrating that we are increasing the breadth and depth of our distribution in retailers across the country. Turning to foodservice, I mentioned during our last call that we invested in a partnership with Acosta Foodservice, a U.S. foodservice sales and marketing agency that specializes in consumer packaged goods. Acosta will represent our national U.S. foodservice distribution, with a focus on increasing our broadline distribution and expanding into more national and regional restaurant chains. We launched the partnership in January and have since successfully educated hundreds of Acosta sales representatives across the country, notably on how our high-quality, ethically produced products and premium brand resonate with today’s diners. We have been impressed with the doors they have opened for us in a relatively short period of time. We continue to see an opportunity for long-term growth in the foodservice channel. We believe the trends we’re seeing at-shelf mirror what consumers are attracted to when they dine outside their home. They’re looking for trusted, ethically produced food that reflects their values. We look forward to further developing our relationship with Acosta in the months and years to come. Finally, an update on innovation, where we are preparing to launch our newest product, breakfast bars. We’re continuing to innovate for snacking occasions because we know consumers are actively seeking wholesome, protein-packed solutions that fuel them throughout the day. Breakfast bars are a first-to-market opportunity. They are warm, egg-based bars that can be prepared in less than a minute and features savory flavor combinations that are reminiscent of classic comfort foods like a hearty quiche, breakfast hash or casserole. They are convenient, are made with clean, recognizable ingredients and adhere to the ethical production standards, to which we hold ourselves accountable for all our pasture-raised products. Breakfast bars will be available nationwide beginning in early August. As we continue to test, research and launch innovations in new and existing categories, we’re confident that the strength of our brand and reputation for ethical food production will attract new and existing consumers to our products. In conclusion, we had a strong start to the year and I would like to conclude with a few final comments on our positioning for the future. First, our business is at the intersection of several trends that have propelled our growth historically, and we believe will endure. One of these trends is a growing interest among consumers to first, know where their food is from; second, know how their food is produced; and third, bought with their dollars for products that reflect their values. We believe these needs, which are unrelated to the pandemic, combined with a significant increase in at-home consumption we saw in 2020, will only grow in relevance in the years ahead. Americans are becoming more discerning about what they consume and feed their loved ones. An important pillar of our brand strategy has been to educate consumers on ethically raised production practices and to build awareness of misleading animal welfare claims in the market. We believe investing in this education through marketing can be a catalyst to accelerating these underlying consumer trends. Next, we are building capacity and deepening competencies across the business to meet our aggressive growth targets. We’re on schedule with 2022 capacity plans for our farmer network and on track to complete our Egg Central Station facility expansion, which will double our current egg capacity by the middle of 2022. We’re investing in third-party relationships like our partnership with Acosta to expand our national footprint, and we’re attracting new, highly experienced talent to our crew. Next, we have a strong differentiated brand. We know we are not going to win in the egg segment or any other category purely on functional product benefits. For us, these attributes are table stakes and obvious outcomes when food production is done right. We are focused on building a brand that represents much more than high-quality, ethically raised foods. When consumers see Vital Farms at the grocery store, on a restaurant menu, on their television or on social media, they see a brand they trust, one that evokes feelings of pride and confidence in our ethical production practices and care for our stakeholders. We are improving the lives of people, animals and the planet through food and showing the world what it means to produce ethical food at scale. I believe there are tremendous opportunities ahead for Vital Farms, and I want to thank our stakeholders for their passion, perseverance and valued partnership. I will now turn the call over to Bo.
Bo Meissner: Thank you, Russell. Hi, everyone and thank you for joining us today. I will be reviewing our financial results for the first quarter ended March 28, 2021 and provide an update on our full year outlook. As Russell mentioned, we achieved net revenues of $58.5 million, an increase of 23% compared to the first quarter of 2020, which was driven by an increase in egg and butter sales to our retail customers and distributors and new distribution at both new and existing customers. Gross profit for the first quarter was $21.3 million or 36.4% of net revenue compared to $15.9 million or 33.3% of net revenue for the first quarter of 2020. The 300-plus basis point expansion was attributable to improved off-size egg utilization, lower material costs for butter and volume leverage over our direct labor and overhead costs. This was partially offset by higher promotional spending and material costs on conventional eggs. SG&A for the first quarter was $13.2 million compared to $9.7 million in the first quarter of 2020. The increase in SG&A was driven by higher public company costs, greater employee-related costs as we grew headcount and slightly higher marketing expenses. Shipping and distribution increased $1.8 million relative to the first quarter of 2020, driven by higher sales volume and outbound freight rates. Adjusted EBITDA for the first quarter was $4.7 million compared to $3.8 million for the first quarter of 2020. Now, shifting to our capital structure, as of March 28, 2021, we had total balanced cash and investable securities of $102.9 million, and we have no long-term debt outstanding. With respect to our forecast for 2021, we expect net revenues in the range of $246 million to $253 million, representing growth of 15% to 18% over 2020, and 2020, which was bolstered by COVID-19-driven demand that added roughly 20% to last year’s top line growth rate. Our top line performance in Q1 gives us even greater confidence that we will be able to deliver revenues within this range. Additionally, we continue to expect the second half of the year will produce stronger net revenue growth rates than the first half as retailers return to a more normal or pre-pandemic cadence of distribution resets this year. Additionally, given our strong Q1 results, we feel confident in raising our forecast for adjusted EBITDA to $7 million to $9 million for fiscal year 2021. I want to thank you for your time and interest in Vital Farms. But before we take any questions, I want to reinforce our confidence in the year ahead. We have a strong brand and portfolio of high-quality products that millions of households across the country trust for ethically produced food. We believe this foundation leaves us well-positioned for a successful 2021 and beyond. And with that, I will turn the call back over to Russell.
Russell Diez-Canseco: Thanks everyone for your interest in Vital Farms. We will now turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Rob Dickerson. You may begin.
Rob Dickerson: Great. Thanks a lot. I guess, just a couple of quick questions. Russell, I heard you say or mention the innovation in bars that should be launched more nationwide sometime August, but what’s the visibility and the feel kind of how quickly that business can ramp? And if you kind of sized that against how you view the Egg Bites, would you say it’s kind of a similar opportunity, little bit different for certain reasons, just trying to gain a little bit more color on that piece?
Russell Diez-Canseco: Yes, sure. Thanks, Rob. Yes, we are really excited about this, because as you know, we launched Egg Bites very successfully last year against the backdrop of several competitive offerings. And while we have emerged as the number one Egg Bites brand in the natural channel and number two in conventional, it’s still a street fight out there, frankly. We need to get our Egg Bites into more and more stores, which we are and into more and more people’s mouths frankly, because we think we have got the superior product. What we have seen so far around bars is that it’s truly unique and differentiated and the channel is very excited about it. And so we believe this product hits potentially a different daypart, a different kind of need state and so potentially very complementary to Egg Bites. I am excited to see where it goes.
Rob Dickerson: Alright. Super. And then, I guess second question then I’ll pass it on, is just the comment around second half revenue growth faster relative to the first half partially driven by retailers against being a bit more proactive on-the-shelf reset kind of as we get through the pandemic. Obviously, you would only make that comment if it would mean as if you actually feel like you are going to do well on those reset. So maybe explain why you believe you would do well kind of why the retailer would look at you favorably as they start to think about resets in the back half of the year? That’s it. Thanks.
Russell Diez-Canseco: Yes, appreciate that very much. So, a very important part of our growth journey and our right to win in the marketplace has been developing, I would say very high-quality, long-term and trust-based relationships with the important stakeholders that are our retail partners and we communicate very well with them. We collaborate and we are very transparent. And as a result, I think we enjoy very good relationships. And I think we generally have a pretty good sense of how things are going for their business and how we can continue to support their success. We bring superior price point, superior growth and we believe superior economics for our retail partners. And so when we have got new items to present, they generally give us a fair shake in terms of hearing us out and looking for ways to partner. And we will continue to bring great products that help develop the economics of our retail partners. And that’s – that recipe for success seems to be working.
Rob Dickerson: Super. Thank you so much.
Russell Diez-Canseco: Thank you.
Operator: Our next line will come from the line of Growe from Stifel. Your may begin.
Chris Growe: Hi, good morning.
Russell Diez-Canseco: Hey, Chris. Good morning.
Chris Growe: Hi. I just had a question for you on input costs. Just to understand kind of how to think about that for the second quarter versus the first quarter, get some sense of the increase that you are expected to versus achieve? And then just how that’s changed? In recent weeks, we have seen continued inflation, some – your key inputs, just to understand that aspect if I could please?
Bo Meissner: Sure. We anticipate that Q2 and Q3, we are going to see the highest commodity costs for the year and again, that’s driven by the one quarter lag, which we adjust egg costs and feed costs for our farmers. So, you can expect a little more commodity pressure in Q2 and Q3. Within the guidance that we have given, the updated guidance of $7 million to $9 million, we believe that we have covered the current outlook for commodity costs for the balance of the year. So, as long as there is not significant changes from where we are, we are comfortable with the guidance that we have that commodity exposure topic.
Chris Growe: Okay. Thank you. And then just to think about the ways that you can offset this, I realize – I think you said at this point, you are not taking any pricing. So, I wanted to verify, is there any pricing adjustments you have made or changes you made in your business? And then also just to think of the other levers you have, promotional spending or cost containment efforts, anything else you could cite that you are using to help offset some of this inflation?
Russell Diez-Canseco: Chris, one thing I would say upfront before Bo gives you the more detailed answer is that, as you will recall we have got a pretty diverse portfolio of products and we are primarily in eggs. That’s the bulk of it. But we also have some exposure in the dairy side as well. And sometimes, those cost inputs don’t all move in the same direction at the same time. So, one thing that may influence our results this year is simply that it’s not all about corn and soy being fed to chicken.
Chris Growe: Yes. That makes sense.
Russell Diez-Canseco: Bo, do you want to add anything?
Bo Meissner: Yes. Sure. On the pricing front, Chris, as we have talked one of the things that we are constantly looking at is the level and depth of our promotional activity. And that’s one of the levers that we have to look as commodity prices continue to increase and see if there is something we want to do with the depth of promotions that we have in the marketplace. And we continue to look at that. The other thing that helps us and has helped us in Q1 was our ability to sell off-size eggs and the off-size egg utilization. We did a – sales team did a great job in Q1 to maximize the sale of off-size eggs and if we can continue that, that provides us with some potential offsets as well for incremental commodity costs.
Chris Growe: Okay. Just one follow-up to that in terms of the promotional spending, you were pulling back on promotional spending last year. So that would be up, I would imagine, but you are still – is that right like in Q2 and Q3, in particular, the quarters where we will see promo spending up, maybe just not perhaps at the level of which you were prior to that. Is that a fair way to look at it?
Bo Meissner: That’s a fair way to look at it, Chris. Yes.
Chris Growe: Okay, okay. Thanks so much for your time today.
Russell Diez-Canseco: Thank you, Chris.
Bo Meissner: Thanks, Chris.
Operator: Our next question will come from the line of Adam Samuelson from Goldman Sachs. You may begin.
Adam Samuelson: Yes, thanks. Good morning, everyone.
Russell Diez-Canseco: Good morning, Adam.
Adam Samuelson: Hi. So, maybe just following up on the point on the first quarter gross margins, it just came in kind of pretty nicely up year-on-year and with some feed cost inflation in there. I am hoping you can maybe disaggregate some of the key contributors, just so we can think about how that flows through the balance of the year obviously layering in incremental feed inflation on top of that?
Bo Meissner: Yes. I think one of the key things that really helped us in Q1 was our ability to really sell all of our off-size eggs. As we have talked about on prior calls, if we are not able to sell them in the retail market as shell eggs, we get a significantly lower revenue per dozen by having to sell them to a breaker plant. So that was a significant contributor to the Q1 margin. We have no guarantee that we will be able to do that go forward, but the sales team is doing everything they can to maximize the sale of those off size eggs. Again, the other thing that we saw is, although we had pricing pressure on – cost pressure on conventional eggs due to the feed costs, we did see decreases within our butter portfolio because of what the CME for butter prices did. So there was a partial offset there. But again, for the last couple of quarters for the year, we’re anticipating that the commodity cost per butter is going to increase on in our current forecast based on the internal forecasts that we have. So some of those tailwinds we saw in Q1 won’t continue.
Adam Samuelson: Okay, alright. That’s really helpful. And then just as I’m thinking about the trajectory on sales over the balance of the year and, obviously, right now, we’re lapping kind of some of the kind of extreme kind of pantry loading in COVID in the second quarter last year. Has your sell-through and your sell-in through the second quarter – how would you characterize that relative to your expectations and, especially, as you say, as consumer habits may be evolving? Or anything you’re seeing that’s notable in your scanner data in the near-term?
Russell Diez-Canseco: Well, I think what I’d say there – Bo, did you want to chime in?
Bo Meissner: Yes. I mean, I think, there is nothing unexpected in the results that we’re seeing. I mean one of the things that we did see, we think, that helped Q1 a little bit is we saw a shift in sales at the end of Q1 from what we expected to ship in April into March. There is a little bit of that. But from a consumer point of view, I mean, consumption still remains very strong. And I think we’re still seeing the retention of consumers that we believe is going to continue to drive us towards the guidance we have for the fiscal year. Interesting thing to note, if you look at Q1 versus 2019 Q1, our 2-year CAGR on sales growth is above 33%. So sort of that takes that a little bit of the noise that we may have seen with COVID in that first quarter and still talks about the strength of the consumer model in our business and what is contributing to our sales.
Adam Samuelson: Alright. Great. That’s really helpful. I will pass it on. Thanks.
Operator: Our next question comes from the line of Pamela Kaufman from Morgan Stanley. Your may begin.
Pamela Kaufman: Hi. Good morning.
Russell Diez-Canseco: Good morning, welcome back.
Bo Meissner: Good morning.
Pamela Kaufman: Thank you. I wanted to see if you could talk about where you’ve gained incremental distribution in the quarter. Any particular geographies or retailers and how are you thinking about further opportunity for distribution expansion over the next several quarters?
Bo Meissner: So some of the distribution that we saw in the first quarter, we saw in some of the chains of Albertsons and Safeway. So that’s been a big chain that we’re very happy to continue to grow our distribution most.
Pamela Kaufman: Okay. And is that driven by the partnership with Acosta or kind of your internal efforts?
Bo Meissner: Yes, that’s in the retail segment, not in the foodservice. And Acosta is really helping us to grow the foodservice channel. So it’s really the efforts of the sales team.
Pamela Kaufman: Got it. Okay. And I guess how are you thinking about the runway for distribution expansion over the next couple of quarters?
Russell Diez-Canseco: Well, I think there is so much room in front of us, Pamela, as we continue to work with our valued retail partners. We’re in over 16,500 stores today, and there is a tremendous opportunity to continue to bring more products to those doors. And so that’s a big part of the conversations we’re having throughout the year. And we feel great about the responses we’re getting from the meetings we’ve already had, and we will continue to have those meetings throughout the next couple of quarters.
Pamela Kaufman: Got it. And obviously, top line was strong in the quarter. I guess, can you discuss your decision to maintain top line guidance for the rest of the year? Obviously, are there any particular dynamics that you’re seeing that drove your decision not to increase the guidance? And I guess, how are you thinking about the stickiness of behavioral changes that we’ve seen from consumers as life begins to return to normal?
Bo Meissner: Yes. Thanks for the question, Pam. Yes, we’re very happy with the Q1 results. As I mentioned a minute ago, I mean, there was a slight shift in some sales that we expected to occur in the beginning of April that shifted into Q1 and to the end of March. But the delivery in Q1 really gives us a much higher level of confidence that delivery of the net sales range that we provided for the year is very achievable.
Pamela Kaufman: Got it. And I guess, last, can you just talk about what you’re seeing from the promotional landscape and what your expectations are over the coming quarters? You mentioned that you expect to see a more normalized level of promotional activity. But I guess, what does that mean for you?
Bo Meissner: So if you think of 2020, I mean, we pulled back on promotional activity because COVID was impacting the sales so dramatically, and if promotions were required. So relative to 2020, we would anticipate that we will see, overall, for the fiscal year, a higher investor and trade spend as we’re trying to attract more consumers to try the product, etcetera. So when we speak of a more regular cadence, it will be higher than 2020, where we’re able to pull back on promotions. And it will be spread fairly evenly throughout the year, perhaps a little bit more back weighted, just as we are getting new distribution in retailers and trying to set up promotional activity at those new retailers as we get into their stores.
Pamela Kaufman: Okay, thank you.
Operator: Our next question will come from the line of Ken Zaslow from Bank of Montreal. You may begin.
Ken Zaslow: Hey, good morning guys.
Russell Diez-Canseco: Hey, Ken. Good morning.
Ken Zaslow: A couple of questions. One is, what will be the initial mission for the ESG officer? What would she be asked to do right away?
Russell Diez-Canseco: Sure. So first of all, Joanne Bal is – she’s got a really long title. She’s our General Counsel, our Corporate Secretary and our Head of ESG. And so much of that ESG function is going to be about, frankly, doing a better job of communicating a lot of things we’re already doing, but frankly, have just been doing and maybe not talking enough about. But ultimately, the core piece of work this year will be to do two things: one is to build a small team around that function; two is to work with some outside consultants to do a materiality matrix or assessment to understand the critical ESG factors that are most meaningful for our long-term sustainability, and then to set some goals for 2022 that we can all be held accountable for.
Ken Zaslow: Okay, great. My second question is, how do you continue the momentum in the medium-sized eggs to make sure that continues, because that’s been a real benefit from the COVID experience. I guess, how do you maintain it?
Russell Diez-Canseco: Well, a lot of it has to do with sort of telling the story of the great economics for retailers that they provided over the last year. I think what we saw – even when the full array of egg options came back to retail shelves, we still saw some very strong velocities for medium eggs. They provide a unique value to consumers. One interesting aspect about medium eggs is that the yolk is consistent with the size of the yolk in a larger egg. It’s the albumen or the white that changes. So for people that are looking for an even stronger protein and healthy fat contribution to their diet, a medium egg is actually really nutrient-packed, nutrient-dense. So we will continue to tell that story to consumers via our marketing efforts. We will continue to offer a great opportunity to our retailers in terms of their own economics, and we will continue to bring that to market.
Ken Zaslow: And then my last question is on foodservice. I’m sure it got off to a little bit slower than you expected. Can you talk about the ramp in the foodservice channel? And then where do you expect it to be in 1 to 2 years relative to the rest of the portfolio on a composition basis?
Russell Diez-Cansecob: Yes. I would say that our ramp in foodservice is meeting our very modest expectations, right, this year. And so I think we’ve been – we didn’t have very strong expectations for a big ramp this year as the economy cautiously returns to dining out. Acosta is helping open doors. It’s helping get us the right kinds of meetings. And we’re learning a lot from those meetings about what the right products and the right mix with the right pricing works for potential foodservice partners. There is definitely opportunity in the midterm, call it, beyond 2021. And we’re going to use 2021 to work with Acosta to develop our winning strategy in the out years.
Ken Zaslow: Do you – have you had any early wins in terms of distribution or any sort of beyond-the-learning experience that you’ve been able to kind of point to more of a tangible execution? And then I will leave it there, and I appreciate it.
Russell Diez-Canseco: Yes. I don’t – we absolutely have had wins since we started working with Acosta. I don’t know that I’ve got specific names to tell you about. Generally, they are regional concepts.
Ken Zaslow: Great. Thank you. Be well guys.
Russell Diez-Canseco: Thank you.
Bo Meissner: Thank you, Ken.
Operator: Our next question will come from the line of Jacob Nivasch from Credit Suisse. You may begin.
Jacob Nivasch: Hi. Thanks for the question. Good morning guys.
Russell Diez-Canseco: Good morning.
Bo Meissner: Good morning.
Jacob Nivasch: So, just one for me here – yes, just one for me here, have you seen any new data on consumer adoption or, I guess, understanding of pasture-raised in general? Is the overall category growing in line with you? Is it growing faster? And I guess, from a competitive standpoint, have you seen private label or any other smaller competitors accelerating in shelf space? Yes, that’s my first question. Thanks.
Russell Diez-Canseco: Yes. There is a lot to unpack there. I would say, at a high level, the outdoor access portion of eggs in which we play is definitely growing faster than eggs overall. And we’ve seen substantial share gains period after period as a result. Again, we’re really, I think, providing the products that consumers in America increasingly want. We’re kind of where the puck is headed, in a sense. There have been a variety of both private label and branded specialty eggs on the shelf for many years, including pasture-raised options. And we continue to grow our share of eggs overall and of pasture-raised eggs, which, I think, speaks to the value of our brand and our consumer-driven approach to bringing great food to market.
Jacob Nivasch: Got it. Understood. Yes. And then just one big-picture question here, you mentioned that the – you’re building out that learning and development farm in Missouri, the Onion Creek farm. Can you just provide a little bit more detail on, I guess, what you’re expecting to get out of that, I guess, near-term and long-term?
Russell Diez-Cansecob: Yes. Thanks for that. We work with over 200 small family farms, and it’s really important to us that we set them up for success. We want – we believe we work with the very best farmers in this country. And we want to bring them tools, insights, information to help them be the very best that they can be. So we have a Vital Farms sort of approach to raising pasture-raised birds and producing pasture-raised eggs. And this farm will be an opportunity for us to really see how high is up in terms of bird health, in terms of the economics for the farmer, in terms of producing the high-quality eggs that we all want. There are lots of best practices that we get from those 200 small family farmers. We want to put them all in one place and see what can happen.
Jacob Nivasch: Got it. Understood. Thank you.
Russell Diez-Cansecob: Thank you.
Bo Meissner: Thank you.
Operator: And there are no further questions in the queue. I’d like to turn the call back over to Matt Siler for any closing remarks.
Matt Siler: Just want to thank everyone for their time this morning and their interest in Vital Farms. Have a great day.
Bo Meissner: Thanks, everyone.
Russell Diez-Canseco: Take care.
Operator: This ends the conference call. Thank you for participating. You may now disconnect.